Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to the UroGen Pharma's Third Quarter 2018 Financial Results and Business Update Conference Call. It is now my pleasure to turn the call over to Kate Bechtold, Director of Corporate Communications and Investor Relations for Urogen. Please go ahead.
Kate Bechtold: Thank you, operator. Good morning, everyone, and welcome to the UroGen Pharma third quarter 2018 Financial Results and Business Update Conference Call. Earlier this morning, we issued a press release providing an overview of our recent corporate highlights and financial results for the quarter ended September 30, 2018. The press release can be accessed on the Investors portion of our website at investors.urogen.com. Joining me on the call today are Ron Bentsur, Chief Executive Officer; Dr. Mark Schoenberg, Chief Medical Officer; and Peter Pfreundschuh, Chief Financial Officer. Joining us for the Q&A portion of the call will be Stephen Mullennix, Chief Operating Officer. Ron will provide a brief summary of our recent Corporate Development, and Mark will share clinical development and regulatory updates. Peter will then provide an overview of our financial highlights for the third quarter of 2018 before we open up the call for questions. As a reminder, during today's call, we will be making certain forward-looking statements. Various remarks that we make during this call about the company's future expectations, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of UroGen Pharma's annual report on Form 20-F filed with the SEC on March 15, 2018, and other filings that UroGen Pharma makes with the SEC from time to time. We encourage all investors to read the company's annual report on Form 20-F and the company's other SEC filings. These documents are available under the SEC filings section of the investor's page of UroGen's website at investors.urogen.com. In addition, all information we provide on this conference call represents our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update these forward-looking statements at some point in the future, we undertake no obligation to update any forward-looking statements we may make on this call on account of new information, future events or otherwise. I will now turn the call over to Ron.
Ron Bentsur: Thank you, Kate. Good morning, everyone and thank you for joining us on our conference call. We look forward to providing you with an update on the continued clinical and operational progress that we have made during the third quarter. But I've no doubt that the update on the UGN-101 OLYMPUS trial is of most interest to those on the call. As noted in our quarterly press release this morning, following our breakthrough therapy designation known as BTD in October, our team met with the FDA to reach an agreement on the required information for our NDA submission so we could ensure that it would be accepted, reviewed in a timely manner and would have the greatest potential for approval. We are very pleased with the outcome from this meeting. As you likely recall, the OLYMPUS trial is an open-label single arm study. At this pre NDA meeting we presented the data that we have to date to the FDA following which the decision was made that we would no longer need to recruit additional patients and that the complete response rate seen in approximately 65 patients would be sufficient to support submission. As a result, patient enrollment for the study is now complete. We are pleased by what we believe is the FDA support for UGN-101. Recently manifested by the granting of the breakthrough therapy designation, as well as the outcome from the recent pre NDA meeting, we believe that there is recognition of the need for potentially organ sparing non-invasive therapy in low grade upper tract urothelial cancer. Our current plan is to present the top line data in January of next year and the full data at a medical meeting in the second quarter of 2019. Durability updates will be provided in both presentations. Importantly, we remain on track to initiate the UGN-101 rolling NDA submission this quarter, and complete the submission in the second quarter of 2019. We continue to target potential approval in 2019 and are building out our infrastructure to support a launch next year subject to such approval. We look forward to sharing additional details of our commercial strategy in the coming months. Beyond our clinical programs and commercial planning, we continue to keep a close eye on future growth opportunities. In September, we welcomed Dr. Jones Woody Bryan to our team as Senior Vice President of Business Development. Woody brings over 25 years of industry experience to UroGen. Prior to joining the company Woody served as Senior Vice President of Business Development at Sucampo Pharmaceuticals Inc where he worked closely with our Chief Financial Officer, Peter Pfreundschuh and spearheaded the business development effort for its acquisition by Mallinckrodt Pharmaceuticals for $1.2 billion earlier this year. His primary focus at UroGen will be on the integration of corporate strategy and business development to assess partnerships both inbound and outbound and bolster our product portfolio. This is an incredibly exciting time at UroGen as we sit on the cusp of an NDA submission to the FDA for our first therapy. We remain intensely focused on our corporate milestones and look forward to providing updates on our progress. I will now turn the call over to Mark. Please go ahead.
Mark Schoenberg: Thanks Ron. Given the encouraging interim analysis from the OLYMPUS trial, it was presented at the AUA earlier this year. The granting of breakthrough therapy designation and the positive outcome of our recent meeting with the FDA, we are excited about the potential of UGN-101 to change the treatment paradigm for low grade UTUC. When we recorded our interim analysis in May, 20 of 34 patients or 59% had achieved a complete response; with 5 of 34 patients or 15% achieving a partial response. At the time of the announcement of the 13 and 7 patients who had reached three and six-month follow-up respectively, all remained disease-free. UGN-101 appeared to be safe and well tolerated with most adverse events reported as mild or moderate and transient. It's important to note that more than one-third of the patients in this analysis presented with unresectable tumors, which means that the tumors could not be reached using conventional endoscopic technology. In a real life setting, these patients would be candidates for kidney removal. As Ron alluded to earlier, an important component of our NDA submission will be durability. In addition to the high complete response rate observed in the interim analysis, we were very pleased with the durability. It has now been six months since we presented the interim analysis at the AUA and we continue to be encouraged by the recurrence free survival rate observed in the trial. We are cautiously optimistic that based on the peer reviewed literature the durability observed following treatment with UGN-101 could potentially exceed the durability associated with primary and surgical intervention. If approved, UGN-101 would be the first primary, non-surgical therapy for low-grade UTUC, and the first drug ever approved for this indication. Current treatment for UTUC requires surgical intervention, which puts patients at risk for the well-known complications associated with repetitive surgical procedures, and the potential for kidney removal. UGN-101 would provide patients living with UTUC a much-needed non-surgical means to treat tumors, which would be especially meaningful for patients with rapidly and chronically recurrent cancer, and for those whose disease cannot be visualized or resected using contemporary endoscopic technology. As an urologist, I am particularly excited about UGN-101 given the potential impact it may have on contemporary clinical practice. If approved, UGN-101 would provide physicians in general urologic practice with a simple to use kidney-sparing approach to the management of low-grade UTUC. In addition, it would aid urologists in avoiding the risks associated with repetitive endoscopic surgery, as well as those associated with kidney removal such as bleeding, infection, injury to adjacent organs and the risks of anesthesia. In addition to UGN-101, UGN-102 represents a substantial opportunity for advancing our RTGel technology platform. We have leveraged the significant clinical experience from our 101 program and are pleased to announce that we are enrolling patients in our OPTIMA II open-label single arm multi center phase 2b clinical trial of UGN-102 for the treatment of patients with recurrent low-grade Non-Muscle Invasive Bladder Cancer. The multicenter trial was designed to assess the efficacy and safety of UGN-102 as a potential first-line chemo ablation agent in the treatment of approximately 60 patients with low-grade Non-Muscle Invasive Bladder Cancer at risk for recurrence. The current standard of care for low-grade NMIBC is transurethral resection of bladder tumor or TURBT, followed by adjuvant chemotherapy. In 2012, the annual incidence of urothelial bladder cancer was 80,000 in the United States with a prevalence of 700,000. NMIBC accounts for approximately 80% of all new cases of bladder cancer diagnosed in United States each year with most patients experiencing life long, repetitive surgical treatment for cancer recurrence. UGN-102 has the potential to initially address the unmet medical need in up to approximately 85,000 patients for whom TURBT is no longer an effective approach for the control of cancer recurrence. Like UTUC, there are no currently of drugs by the FDA as first-line treatment for NMIBC, and only three drugs have been approved by the FDA all as adjuvant treatments following TURBT. We look forward to presenting initial data from the OPTIMA II trial in the first half of 2019. With that I would like to turn the call over to Peter.
Peter Pfreundschuh: Thank you, Mark and good morning to everyone on today's call. UroGen is well-capitalized to further advance our clinical development programs and support our commercial planning efforts in preparation for potentially US approval of UGN-101 in 2019. We closed the third quarter of 2018 with $109.5 million in cash and cash equivalents on the books. For the third quarter of 2018, we reported a net loss of $20.5 million or $1.28 per share. This compares to a net loss of approximately $300,000 or a loss of $0.02 per share for the third quarter of 2017. This net loss includes a $9.5 million charge in non cash based stock compensation expense during the third quarter of 2018. Additionally in the third quarter of 2017, the company had $7.5 million milestone revenue from Allergan as compared to Q3, 2018, where we did not have milestone revenues from Allergan. Research and Development expenses for a quarter ends at September 30, 2018 were $9.6 million as compared to $5.6 million for the quarter ended September 30th, 2017. And included $3.8 million in non-cash share based compensation expense. The increase from 2017 to 2018 was attributable mainly to the increase of $2.3 million of share based compensation expense and an increase of $1.7 million in headcount and a related cost to support increased clinical trial activities. General and Administrative expenses were $10.7 million for the third quarter of 2018 as compared to $2.2 million for the same period in 2017, and included $5.7 million in non-cash share based compensation expense. The increase in general and administrative expenses resulted primarily from an increase in share based compensation expense of $5.1million and an increase in headcount and related cost to support our growing business, and an increase of commercial services and increase in consulting and director fees. As of September 30, 2018, we had approximately $16.1 point million ordinary shares outstanding. Based on the anticipated activities, we are preparing for potential approval and launch of UGN-101. In addition, we plan to advance ongoing clinical programs and other ongoing and new research initiatives. Based on this, we project our current cash balance to carry us into 2020. Finally, I'd like to note that the SEC is closed in observance for Veterans Day today. Our Form 6-K will be filed prior to the open of market tomorrow. With that operator, I would like to now turn the call over for questions.
Operator: [Operator Instructions] We have a question from Chris Howerton from Jefferies.
Chris Howerton: Hey, good morning, everyone. Thanks for taking the question. Just a real quick one in terms of the timeline for the OLYMPUS data and kind of the interaction with the FDA. So I think the original timeline was that the top line results were going to be presented by the end of this year. Obviously, you stated this morning that you're now expecting to do that in January, and I suspect that had something to do with the pre-NDA meeting and kind of the breakthrough designation. So just how did that all work in terms of the timing? And as a kind of corollary to that I think the original enrollment was expected to be 74 and now you're working on 65 patients. So is that an increased confidence based upon the CR rate that you've historically seen in the data to date? Thanks.
Peter Pfreundschuh: Hey, Chris, it's Peter Pfreundschuh. I'm going to play quarterback for today's Q&A session of the call largely because the team is located in a number of different locations across the globe for various conferences, and meetings this week. So I'll first tee up the question to Ron, and then that'll be followed up by Mark. Ron?
Ron Bentsur: Hey, Chris. How are you? Thank you for the question. So regarding the timing for the top line release, we just decided to push it out to January because we felt that in January we'll get more attention, certainly more eyes and ears as opposed to a timeline that was converging on the second half of December. So we felt that it was just better to push it out to January, obviously, there's the JP Morgan conference that's one possibility and some other possibilities as well. And it's just a matter of getting just more people to focus on it, that's the only reason for that. With respect to the enrollment and the discussions with the FDA, so as we said on the call the FDA, when we had the meeting with the FDA recently this pre-NDA meeting, the number that the FDA saw was for enrolled patients was 65 but obviously that was a few weeks ago, and that's outdated now, and right now we're hovering around 70. So we'll probably end the study with around 70 maybe even a little bit more so right at the numbers that we had initially targeted which was 74. Keep in mind that whenever you have a patient who signs an informed consent, you really can't turn that patient back and that patient needs to go through screening. And if the patient passes screening they need to be enrolled. So at the time of the discussions with the FDA, we had a few patients in the hopper and fortunately some of those patients made it in, and they will be included. But going back to what you said in the body of your question, certainly the fact that the FDA had agreed to allow us to stop recruitment based on a number that they had seen which was around 65, I think it's a confidence booster in and of itself because they felt it with the data that we had available certainly it looked very convincing and unequivocal. So we're very pleased by that, and the rest are just timing issues and I'll be looking that these things that happen at the tail end of really any study. Mark, I don't know if you want to add anything to that?
Mark Schoenberg: Yes. Chris, it's a great question. And I think the only thing I would emphasize which Ron has really alluded to already is that the early completion of the trial which is what the agency signaled to us in our conversation is very validating. And I think reflects the fact that these data available are very strong and very clinically convincing.
Chris Howerton: Sure, yes, okay. Well, thanks for the clarification. I appreciate that. If you don't mind maybe just one quick one on 102. So I know obviously the OPTIMA II trial is going on and there have been some discussions on whether or not that could potentially serve as a pivotal trial. And I am just wondering if you're able to provide any updates on a registrational path for 102 and particularly concerning that trial.
Peter Pfreundschuh: So, Chris, I'll direct that question to Mark.
Mark Schoenberg: Chris thanks. So as you pointed out the 102 trial is up and running, and I think as we have previously discussed this trial which is a trial in patients who effectively represent surgical failures, people with rapidly recurring and frequently recurring non-invasive low-grade bladder cancer are a special niche population. They're very problematic representing an unmet medical need that all urologist struggle with. And this is a group of people who are not well served by the standard of care. That said the trial we hope will show that the approach using 102 is effective in decreasing the recurrence rate in this population. And depending on the extent to which that is achieved, we will then I'm sure go back and discuss how those data could be used along a regulatory pathway with the agency. I think it would probably from my perspective be premature to predict whether or not an approval could be based upon those data because we don't have in hand yet, but obviously that's a subject for further discussion. Ron may also want to comment on this as well.
Ron Bentsur: Yes, Mark. I completely agree. It's premature to make that determination. Obviously, the strength of the data will determine what approach we would want to take with the FDA, and to be continued but the most important thing is that we will have initial data to present in the first half of 2019. So, hopefully, we'll get people to focus on the program, and on the potential as that moves along and to give people a sense hopefully of the strength of UGN-102 in this indication and in these tough to treat patients, the high recurring patients. So that's the first stake in the ground is to be able to present some preliminary data from the study.
Operator: The next question comes from Boris Peaker from Cowen.
Boris Peaker: Good morning and congrats on all the progress. More questions on the OLYMPUS study, maybe I'll start with that. I'm just curious was the response assessed by investigator or centrally reviewed? And is that something that came up in the FDA discussions?
Peter Pfreundschuh: So, Boris, I'll direct that question initially to Mark with a follow-up by Ron.
Mark Schoenberg: Boris, thank you for the question. So the response rates are actually adjudicated at the site, which reflects a desire on the part of the sponsor to create a protocol that would be reflective of real-life practice. We do in the case of disagreements amongst pathologists have a central pathology adjudicator if that's required for the most part it has not been, and again just to specifically answer the question, the response rates are actually assessed and reported by the investigators. And it did not come up -- that specific point did not come up to my memory in our conversations with the FDA.
Ron Bentsur: Yes. I'll just add that the FDA is in full agreement that the visuals can be locally assessed, and in addition to that keep in mind that in order to confirm a complete response, we also have a psychology test which is empirical it's a 0 or 1. And the patients need to be negative on psychology. So that's another added measure that we have to confirm a complete response.
Boris Peaker: Great. My next question is on manufacturing. I'm just curious what's the status of manufacturing approval and make sure that everything is, that's not - doesn't become a limiting issue.
Peter Pfreundschuh: Good question, Boris. I'm going to direct that question to Stephen first and then I'll do some follow-up on it and possibly Ron.
Stephen Mullennix: Hey, Boris. Yes, I mean just to remind folks we have a network of CMOS we've been working with through the clinical setting, and so we're well into working with them closely with their QA departments, our QA department and all of that is feeding into the CMC module that will go into the FDA. So I think we feel positive on where we stand on those conversations from the manufacturing side.
Peter Pfreundschuh: Yes. And the things I would add to that Boris is that we're also looking at downstream supply chain, so TPLs and as well as specialty distributors. I think that process is well underway. We've got a very clear view as to how we want to go market with those parties, which is very important that kind of sets the stage then as to how the final product is packaged, delivered to those parties then sub delivered to the final physicians' investigators who are going to be used utilizing the product. So both upstream and downstream from a manufacturing perspective, we're pretty far along in terms of that process both from the CMO side, as well as the final distribution side and that's obviously plugged in very closely with our commercial guys who ultimately will be out there in the street selling this thing. So that's kind of a big broader view from that perspective. Ron, any further comments there?
Ron Bentsur: No, nothing to add, thank you.
Boris Peaker: Great and last. I just want to quickly ask maybe this is for Ron. Have you met with the EMA and I'm curious what the status for Europe then is?
Ron Bentsur: We will be meeting with the EMA by the end of the year. So we'll be able to provide an update shortly thereafter.
Operator: The next question comes from Derek Archila from Stifel.
Derek Archila : Hi, good morning, everyone. Thanks for taking the questions. I guess my first just on the OLYMPUS study. I think you guys noted about a third of the patient we're presenting with unresectable tumors. Just want to get a sense of how representative of that number is with kind of the overall UTUC population? And how again maybe from a commercial perspective and working with payers how you view kind of unresectable and resectable and again the commercial opportunity kind of involved in both of those --this population?
Peter Pfreundschuh: So, Derek, I'm going to direct that question to Mark first, Ron chime in and then I'll add a few points at the end.
Mark Schoenberg: So thanks. That's an interesting question and to give you a sense of what's driving the real issue we're addressing with this therapy. Let me step back and tell you that we know that people with this disease low-grade UTUC are having their kidneys removed in as many as --in as much as 80% of the cases. The things that drive kidney removal are recurrence, rapid and multiple recurrences, multifocal recurrences and unreachable, and that's what we mean by unresectable disease. Disease that you can't get the scope all the way next to so you can put the laser fiber next to it to get rid of the tumor. We know that that's a common occurrence. We know that that is a driver of kidney removal, and I think the study reflects the fact that it is a common problem in clinical practice. So I think it is one of the important contributors to the aggregate population, defining the aggregate population that will benefit from UGN-101 therapy.
Ron Bentsur: Yes. So, yes, I'll just add that we believe that the FDA was clearly intrigued by this unresectable patient population within our study which is hovering a little bit above 35% as we speak of the patients in the program. And this is just based on the fact that as part of the breakthrough designation they ask specific questions about those patients. So again, we can only deduct that the FDA certainly was intrigued by that sub population. Clearly, the ability to generate complete responses in these types of patients is a major attribute of the drug. And we believe is going to be obviously --can provide us with significant leverage as we discuss the value proposition that we bring to the table with payers and physicians alike. And going back to your question regarding basically the proportion of patients that are unresectable in our study versus the overall population, again, if it's very hard to find a literature that draws a direct comparison. We're probably slightly above the average in the population. So if you look at the population that in any given point in time probably a quarter to a third would have unresectable tumors at any given point time. We're hovering right there may be slightly above, but as Mark mentioned, what's very important to mention is that if you look at these patients and you follow them out for a number of years, inevitably almost everyone will have or her kidney removed. So this particular study that Mark was alluding to looked at a very large cohort of UTUC patients about 16,000 of them that were followed for a period of about eight years. And about 80% of them within that eight-year period had their kidney removed, which essentially means that you can dodge the bullet once by having a respectable tumor maybe twice, but it's not going to happen forever. And eventually these patients will present with unresectable tumors. So the ability to generate complete responses and in essence spare organs in this patient population, we believe is tremendous. Peter?
Peter Pfreundschuh: Yes. So, I think, Ron hit on all kind of the dovetail commercial points that then lead to kind of where's this thing play commercially, and from a pricing perspective and those types of thoughts relative to this patient setting. I think from our perspective at the end of the day and we've been saying this to you guys all along. We want to the final target product profile based upon the clinical data that comes out of the ultimate program here. And based upon that in the submission package that then goes into the FDA sometime next year, clinically speaking that then sets the stage commercially as to kind of how this thing is going to present itself. And exactly how we're going to go to market with regards to the product and price it so on and so forth. I can tell you that we've been doing a tremendous amount work internally in the company as we speak with regards to looking at the continuum of care, both from a resectable as well as unresectable perspective over the kind of terms of these patients lives from the time they're initially diagnosed to call it ten years out, which is typically for the most part when a lot of these patients perish, and a lot of times they're perishing not from the disease itself but they're perishing from other comorbidities associated with the disease. So we're really trying to understand what that looks like. Obviously, the final target product profile will ultimately dictate where we go with the product and what we get approved on. But we think that there is a very viable and compelling story here from a value proposition perspective relative to what it currently costs to treat these patients over that continuum of care. So it's a good story.
Derek Archila : Great, thanks. And just one quick one on OPTIMA II. So, I guess, as we think about that population of patients, the surgical failure patient, I guess are these patients still, I know obviously being treated with TURBT right now. And I guess two questions to be first, what kind of durability do you see for the complete responses for TURBT in those types of patients? And then in kind of a registrational setting, potentially in a registrational trial, would you have to -- you have that as kind of the active treatment arm TURBT versus VesiGel? Thanks.
Peter Pfreundschuh: So, I'll turn that question over to Mark and then we'll go from there.
Mark Schoenberg: So since we've acknowledged that these are people who are surgical failures, and we're sort of selecting adverse population for the trial in order to make the point. We do expect the recurrence rate in this group which is as you point out currently treated with TURBT to be very high in one year. If you look across the nation, if you look at this population recurrence rate is certainly at a year likely to be 40% or maybe even higher. So we would imagine and this is again to some extent hypothesis-generating that a trial with the 102 product generating a recurrence free survival rate of the year of 50% or 60% would be to validating for the technology. Again, we have to do the trial and see what the data look like, but I think those general parameters should give you a sense of what we think internally success would look like and Ron may want to comment on them as well.
Ron Bentsur: Yes. I'll just add we're looking at what we call surgical failures. These are patients that recur frequently. So as you can imagine just by doing back-of-the-envelope analysis, the patients are going to on average that we're going to be looking at in the study will probably have recurrences of within six months or so on average. So and when you want to compare that to our data, obviously, if we can beat their historical recurrence, I think we're going to be off to a great start. And based on the data that we've seen in the past and the European experience, we're seeing some very prolonged responses with 102 albeit and in all converse population and this is a little bit more specific, these high recurring patients but we believe that the drug is going to perform well in this study. And hopefully we can present preliminary data that already starts to hint to that effect in the second half --in the first half of 2019.
Operator: The next question comes from Leland Gershell from Oppenheimer.
Leland Gershell: Hey, good morning, guys. Thanks for taking my question. First question I think for Mark, your comment about the durability we're seeing in the OLYMPUS trial as it continues perhaps showing what may be the disease free reoccurrence beyond what we see historico with the surgical removal. If you could just remind us kind of what the numbers are around the data historically from the nephrectomy case?
Mark Schoenberg: Sure, Leland thanks for the question. So when you look at the peer-review literature on endoscopic resection of these tumors, and you look at a large body of literature what you come up with is that with endoscopic ablation for low-grade UTUC the recurrence rates around six months. So as a sort of target point for us, we believe and are encouraged by our data and believe that our data are going to compare very favorably to that historical benchmark.
Leland Gershell: Okay, great. And then with the hiring of Woody how should we think about business development activities for the platform as we head into 2019?
Peter Pfreundschuh: Yes. I'll take that one, it’s Pete. So I think, we first off, we think the platform got a lot more applicability than kind of beyond what we've done so far with UGN-101, 102. We know of a number of opportunities that are out there in the marketplace that potentially could play call it in our space, the space that we're practicing in urology, oncology and other drugs that either have not as good call it a side-effect profile because they're dosed in other forms or because from a clinical efficacy perspective potentially could be a little bit better. So we kind of view that as an opportunity to bolt-on to the platform whether those are through partnerships or those are through situations where we continue to advance science and do it in a collaborative manner. So that's an opportunity I think that we're looking at very actively. We also know of other plays outside of our space. So obviously our first focus is always kind of within our space. The next focus is kind of outside of our space. Other applicability of the gel technology in other areas in the body. And I know we highlight a number of those as part of our overall corporate presentation. Those are I'd call Allergan like type agreements where Allergan is looking obviously to advance BOTOX in the area of overactive bladder, get it into a better dosage form than it is currently dosed today which is via catheter and injections into the muscle wall. So those are other opportunities that we're obviously looking at pretty actively, but that's kind of I call that secondary versus the primary and then just kind of expanding our overall platform as a company. I think the other side of the equation is positioning the company for the best possible position in terms of where urology, oncology company. So maybe it's beyond our platform technology and the products and drugs that were already currently delivering, and some other potential applicability in terms of other technologies that might come down the road that could help round us out in that area. So, again, we're kind of taking it in a stepwise fashion there. But we're being very thoughtful about what we do there because our first and primary focus obviously is around Low-Grade Upper Tract Urinary Cancer so and bladder cancer. So it's -- our focus is to kind of stay in that zone, and leverage our platform and then also leverage other products that can come in their platform as well as possibly some other platforms and drugs that might be very beneficial to putting a couple products in and call it our commercial groups back. So that's the idea there.
Leland Gershell: Great, thanks. And then just timing questions with I guess perhaps to Mark or Ron.
Ron Bentsur: No, yes, Leland, I'll add one more thing. Woody is a very seasoned business development professional and he has done a lot of inbound and outbound deals. And just look at his recent experience with Sucampo where he spearheaded the sale of that company to Mallinckrodt. So, obviously, we need to build internal inherent value in the company, so we're doing a lot of things that we or we think are going to be smart in terms of building out the strengths within the company. And that's all the other things that Peter alluded to and so we're very keen and focused on building the value and building the leadership position that we hope to establish in this world of uro oncology and possibly beyond. But, obviously, we're also aware of the fact that they're certain for example xUS territories where it would make sense to partner. And obviously we also want to stay opportunistic on some other business development front. So that's why we brought in a very seasoned professional who can kind of help shepherd all these processes. So I think we've hired one of the best in the business, and we'll see what happens but we're going to be --we're going to remain very focused on building the inherent and internal value within the company.
Leland Gershell: That sounds terrific, good, thank you. One last question, Ron, just with the top-line data from OLYMPUS now being January but then your hopes to have the full data, the meeting would that make it possibly for ESCO GU or is it more of AUA type of venue?
Ron Bentsur: It could very well be AUA. We, obviously, we can't guarantee anything at the moment and time will tell. And obviously, we would need to have all the data in place in order to file for late breakers and abstracts and things like that, but we are --AUA is certainly a possibility but if it won't be AUA, I'm sure we'll be able to find some other venue.
Operator: We have a question from Reni Benjamin from Raymond.
Reni Benjamin: Hi, good morning, guys. Thanks for taking the questions. I apologize I jumped onto the call a little late so apologizing if you've already answered these in the prepared remarks, but can you just tell us when was the last patient enrolled in the OLYMPUS study? And can you just remind us sort of the process of what's involved in locking the data and undergoing the analysis? And is that done in-house or is that done by a third party?
Peter Pfreundschuh: So, Remi, I'll first put that to Ron and then it'll be a followed up by Mark.
Ron Bentsur: So, Reni, we talked a little bit about that. So right now we've got approximately 70 patients enrolled in the study. Keep in mind that once you essentially announce you're going to be closing the study for enrollment, which we did last week, we --you still have patients who have signed an informed consent, and you give you need to give these patients a fair chance of making into the study meaning to either pass screening or fail and then of course say they're excluded. So after we put out that notice we still had a couple patients like that. I don't know the final status on each and every one of them, but essentially we had about 70 patients as we speak, We could have one or two that will be officially enrolled / treated within the next week or two and that will rounded out. So that's basically what we're looking at right now. So at the time of our discussions with the FDA or even a little bit before that when we had sent them the briefing documents and so on, we had about 65 patients now that number has gone up. And so in fact we're actually pretty much at the number that we had initially anticipated which was that same as 74. But the most important thing to understand is that the timelines are remaining steadfast. In terms of the submission, we're starting the rolling submission in this quarter. We will finish the submission in the second quarter, and obviously we still anticipate launch in the fourth quarter of 2019. So everything is still very much on track. In terms of the database lock and what that entails. So, obviously, we've got several vendors that are involved but what you need to do in order to make that as efficient as possible is to do as much of the query resolution as you go because obviously patients come in a staggered fashion. So you're able to do that to a large extent and obviously you have to be very vigilant with the sites to make sure they capture the data in timely fashion. That they are very proactive about bringing patience for the study visits on time. And if you're able to do that then you're in a position where you can lock the database within a relatively short time after that last patient visit so to speak. And then it's a matter of course finishing up the clinical study reports, the tables listings and figures, the integrated reports and so on. But a lot of those skeletons if you will of these documents can be written well in advance. So there are a lot of things that are happening in parallel and that are how we're going to move forward between now and the completion of the submission.
Reni Benjamin: Got it. I know Mark wanted to comment on this but I guess can you talk a little bit or do you have any color regarding the patients that have been enrolled into the trial since the interim results were announced? And the reason why I'm asking is the interim results actually came in much better than at least I was expecting. I always think about phase, well pivotal studies as getting a more heterogeneous group of patients and response rates going down, and we actually saw the opposite. So is it fair to assume that that's that --exact sort of character group of patients are what came in afterwards as well? And that this new kind of response rate and duration of response is what to expect from the final results are coming?
Peter Pfreundschuh: Mark?
Mark Schoenberg: Thanks Reni. The answer is we didn't change the protocol at all. So we've been doing the same thing over and over again throughout this entire trial with the same inclusion exclusion criteria. And I think the results going to speak for themselves. The reception by the FDA I think is very validating and I would expect that the data would look very similar without a change because we've been doing the same experiment the whole time through.
Reni Benjamin: Got it. And just one final question for me, you may have talked about this already, but pre commercialization activities. Can you talk a little bit about what that will look like? What potential sales force ramp might look like? And I know, Peter, you talked about the burn and how long the cash should last but should we be seeing a significant bump up in the first half of 2019?
Peter Pfreundschuh: Yes. So I'll take that and Ron can round it out. So I think you should naturally believe that the burn will kind of increase a bit especially in 2019 relative to the pre-commercialization / commercialization process. I mean as we've touched upon a number of times during the course of the call, it is our intent, plans, timelines everything's kind of still adding up for a Q4 approval, Q4 commercialization at the end of next year. With that being said, the real buildup in terms of the commercial salesforce and infrastructure will take place call it Q2, Q3. That would be really kind of when the uptick starts taking place in terms of the build-out of the organization respectively for next year. I don't think this is really for all intents purposes or rare disease kind of commercialization play strategy. It's-- you also look at kind of the accounts that we want to go to and centers that we'll be selling to. And it will be an account based approach in terms of the commercialization path going forward. The reality is you might be looking at a commercial salesforce somewhere in the 40-50 realms not including some back office infrastructure that we put in place in the organization. We've been pretty consistent kind of in the messaging around kind of what that looks like in the build-out of that. So really as we kind of move from this quarter to call it a year from now, this year the team is --it's grown to about four. We've got a Head of Commercial; we've got a Head of US Sales, Marketing and patient access. We've got some infrastructure there now. We'll continue to build it out of with medical liaison through the course of the end of this year. But the real kind of start to build a few more heads will be in the first quarter. We're not going to go hog-wild. We really want to make sure that the whole overall clinical submission and rolling NDA process is completed before we really kind of pull the trigger on that one. So, again, timeline wise first quarter still is going to be a little bit of an uptick, but not huge and then it's really a second, third quarter filled with a fourth quarter. We're in place; we've got everything done. Everything from as we touched upon earlier, once we have the final data package submission to the FDA, we'll know the target product profile that we're going to go to market with. We'll know how to price that. We're obviously got some work already well underway with regards to that. Looking at the patient journey, looking at the cost, all those things. So it's -- I think it'll add up for call it Q4 launch and a bit of an uptick Q2, Q2 and then really Q4 ready for commercialization.
Peter Pfreundschuh: So do we have any more questions from the analysts or other folks on the line?
Operator: We have a question from Jonathan Aschoff from National Securities.
Jonathan Aschoff: Thank you, guys. Congrats on the progress and I was wondering getting back to an earlier question about 102. Would you definitely need a control group for a pivotal 102 trial if phase 2b is successful and not deemed pivotal by the FDA or would you not need a control group? I'm asking because the absence of a control group for 101 is a major point in that trials low risk of the other negative outcome. I was kind of hoping you could replicate that highly favorable pivotal trial environment for 102 as well.
Peter Pfreundschuh: So, Jonathan, I'll direct the question at Mark first and then Ron.
Mark Schoenberg: It's a really interesting question and I think the problem going to have answering it is I'd like to see some data before I tell you. I think that if we are pleasantly surprised by what we see along the lines of what we saw in the 101 program, we may need to meet the agency to discuss what you're describing. But I think it would be premature to contemplate a single arm at this point in this indication because it is somewhat different disease with a somewhat different profile. Ron may want to comment on that as well.
Ron Bentsur: Yes. I'll just add Jonathan that there's a reason why we chose this particular patient population, which is a subset of the overall low-grade non-muscle invasive patient pool which is as you know enormous. We specifically chose the tough to treat patients because hopefully that will allow us to pursue a single arm type of an approach. So that was really the thought process that went into the study design for this phase 2b to be to begin with. So hopefully as Mark said if the data plays out in our favor that will give us a lot of leverage as we head into those discussions with the FDA to talk about next steps.
Jonathan Aschoff: Okay and given the similarity between 102 and 101 are you pursuing breakthrough for that as well?
Peter Pfreundschuh: Mark?
Mark Schoenberg: I am going to defer to Ron on that.
Ron Bentsur: Yes. It's still too early to tell, Jonathan. And we would need some data in our hand in order to pursue that anyway. We could not approach the FDA with something theoretical. They would need to see some clinical data. So that's to be determined at a later stage, but initially you would need some data for that.
Operator: I am showing no further questions at this time. I will now turn the call back over to UroGen CEO, Ron Bentsur for closing remarks.
Ron Bentsur: Thank you, operator. I want to thank everyone for taking the time to join us on the call today. We're very excited about the progress we've made toward the potential approval of UGN-101. And thank you for your support as we prepare for an exciting year ahead for UroGen. Operator, you may now disconnect.